Operator: Good morning, and welcome to the Ameris Bancorp Second Quarter Conference Call. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Nicole Stokes, CFO. Please go ahead.
Nicole S. Stokes: Thank you, Wyatt, and thank you to all who have joined our call today. During the call, we will be referencing the press release and the financial highlights that are available on the Investor Relations section of our website at amerisbank.com. I'm joined today by Palmer Proctor, our CEO; and Doug Strange, our Chief Credit Officer. Palmer will begin with some opening comments, and then I will discuss the details of our financial results before we open up for Q&A. Before we begin, I'll remind you that our comments may include forward-looking statements. These statements are subject to risks and uncertainties. The actual results could vary materially. We list some of the factors that might cause results to differ in our press release and in our SEC filings, which are available on our website. We do not assume any obligation to update any forward-looking statements as a result of new information, early developments or otherwise, except as required by law. Also during the call, we will discuss certain non-GAAP financial measures in reference to the company's performance. You can see our reconciliation of these measures and GAAP financial measures in the appendix to our presentation. And with that, I'll turn it over to Palmer.
H. Palmer Proctor: Thank you, Nicole. Good morning, everyone. We appreciate you joining our call today. I am very proud of our second quarter results, which again beat expectations and resulted in an increase in our return on assets PPNR ROA, return on tangible common equity and an improved efficiency ratio. As you can see, we remain focused on enhancing revenue generation and positive operating leverage. This is evidenced by our 20-plus percent annualized revenue growth in the quarter, which was almost double our expense growth, which pushed our efficiency ratio to below 52%. Our margin continued to expand during the quarter while we grew loans 6.5% annualized, which is within our mid-single-digit guidance. Our 3.77% NIM remains well above most peer levels, particularly thanks to our strong 31% level of noninterest-bearing deposits. Capital ratios grew again in the quarter, which positions us well for future growth opportunities. Our strong second quarter earnings and capital generation increased our common equity Tier 1 to 13% and TCE to over 11%. We also saw improvement across the board in all aspects of asset quality. We grew tangible book value this quarter by 15.5% annualized, passing through the $40 level for the first time to finish the quarter over $41 per share. We now have $50 of tangible book value on our sites. We were active in repurchasing stock, buying back $12.8 million in the quarter. Our CRE and construction concentrations remain low at 261% and 45%, respectively. Our strong loan growth was driven mostly by C&I. Deposits grew as well but at a smaller pace. Noninterest-bearing deposits remained our core focus with those balances growing over 3% annualized. Our bankers are well positioned to take advantage of growth opportunities and disruption within our attractive southeastern markets. In fact, production increased 29% from the first quarter, with this quarter having the highest loan production since 2022. Overall, we continue to stay focused on what we can control. When I look out for the back half of 2025, I'm encouraged as we continue to benefit from a robust margin, a solid noninterest-bearing deposit base, a diversified revenue stream, strong capital and liquidity, a healthy allowance and asset quality, a proven culture of expense control and positive operating leverage, experienced local bankers in top Southeast markets and obviously notable scarcity value, given our size and scale in those markets, which allows us to take advantage of the banking disruption the Southeast continues to experience. Overall, I'm extremely optimistic for the remainder of 2025 and into 2026. I'll stop there and turn it over to Nicole to discuss our financial results in more detail.
Nicole S. Stokes: Great. Thank you, Palmer. We reported net income of $109.8 million or $1.60 per diluted share in the second quarter, which is a notable 21% increase over the year ago quarter. As Palmer mentioned, our profitability improved to levels well ahead of our recent path with an ROA and return on tangible common equity, both moving higher. Our efficiency ratio improved to 51.63% this quarter compared to 52.83% last quarter as we continue to focus on positive operating leverage, evidenced by our revenue growth of 20.9% annualized well outpacing our expense growth. This quarter, our return on assets was robust at 1.65%. Our PPNR ROA was 2.18%, and our return on tangible common equity was 15.8%. All of these profitability metrics remain top of class. Capital levels continue to strengthen and tangible book value per share increased to $41.32 per share, which was a strong 15.5% annualized grade growth or $1.54 per share in the quarter. Our tangible common equity ratio increased to 11.09% at the end of the quarter. And we did repurchase about $12.8 million of common stock or about 212,000 shares during the second quarter. We've got about $72 million remaining through the end of October available to purchase. Our strong revenue growth was driven by increases in both net interest income and fee income. Our spread income grew by $10 million in the quarter or 18% annualized. And I'll note here that our average earning assets increased $564 million or over 9% annualized this quarter. In addition to that, our net interest margin continued expanding, up 4 basis points this quarter to a strong 3.77%. And remember, this margin is a core margin. We have 0 accretion in that margin. The modest margin expansion came mostly from the asset side with a 3 basis point positive impact in our loans and a 1 basis point from a higher bond yield. The previous benefit to our margin from the lower funding cost has been fully realized with our total cost of funds remaining flat during the quarter. We believe that we will see margin normalize above the 3.60% to 3.65% range over the next few quarters as we expect pressure on deposits as we see loan growth pick up in the second half of the year. We continue to be close to neutral on asset sensitivity. Noninterest income increased about $4.9 million this quarter, mostly from better mortgage. Our mortgage production grew 36% in the quarter to approximately $1.3 billion, and our mortgage gain on sale climbed 5 basis points to 2.22%. Total noninterest expense increased $4.2 million in the second quarter, mostly driven by higher salaries and employee benefits, which related to the stronger mortgage production and our annual merit increases. As I previously mentioned, our efficiency ratio was strong at 51.63%. During the second quarter, our provision for credit losses was $2.8 million. Our reserve remained strong at 162% of loans or 408% of our portfolio NPLs. Overall asset quality trends were favorable with nonperforming assets, net charge-offs and both classified and criticized all improving in the quarter. Our annualized net charge-off improved 14 basis points. Looking at our balance sheet. We ended the quarter with $26.7 billion of total assets compared to $26.5 billion last quarter. Loan growth returned with an increase of $335 million or 6.5% annualized, in line with our loan growth guidance. Loan growth was mostly from C&I loans this quarter, particularly mortgage warehouse and premium finance. Total loan production in the quarter was $1.9 billion, up nicely from last quarter's $1.5 billion of production. And deposits increased $20 million with the continued seasonal decline in cyclical municipal deposits of $77 million, offset by an increase in broker deposits of $82 million. We were able to grow noninterest-bearing deposits, increasing our percentage to 31% of total deposits from 30.8% last quarter and our brokered CDs represent only 5% of total deposits. We continue to anticipate loan and deposit growth going forward in the mid-single-digit range and expect that longer-term deposit growth will continue to be the governor of loan growth. With that, I'll wrap it up and turn the call back over to Wyatt for any questions from the group.
Operator: [Operator Instructions] Our first question will come from Stephen Scouten with Piper Sandler.
Stephen Kendall Scouten: I guess maybe my first question would be around kind of loan growth trends, what you're seeing from your customers maybe any sort of color into the existing pipelines and maybe within that, the mortgage warehouse lending, if this should be kind of the seasonal peak for that component of the loan book and how we should think about maybe the competition moving forward a little bit?
H. Palmer Proctor: Yes, I'll answer that quick. This is Palmer in reverse order, but the mortgage warehouse, certainly, there's seasonality to that. This was a very strong quarter for that. That being said, as it pertains to the other lines and pipelines and production, I think it's probably very reflective of what we're seeing in the market. There is a, I would call, a resurgence of activity much better than what we saw in the first quarter. And I think that we're hopeful that, that will continue throughout the remainder of the year and into 2026. At the same time, I think there's a bit of caution that still remains out there. But our bankers are seeing more opportunities. It's certainly becoming more competitive, which is always a good sign of that increased competition in terms of activity. So I would expect that third quarter would end up being very similar to second quarter in terms of activities that we're seeing unless there's some unforeseen event that takes place.
Stephen Kendall Scouten: Okay. Great. That's helpful. And then maybe thinking about kind of future growth opportunities, capital continues to build rapidly I think you've said in the past kind of a measured approach to kind of how you would deploy that excess capital. But any kind of change in terms of maybe preferences, order of operations there whether that's new hires, potential M&A, additional balance sheet kind of remixing and the like?
H. Palmer Proctor: Sure. And I don't want to sound like a broken record, but as we've said all along, when I look at our bankers and how we're positioned in the growth markets we're in. We have got the right talent in the right place to execute on our plan in terms of what we have. That doesn't mean we're not actively looking or won't look for new talent that comes in. We're, as you know, very consequential with talent, and we expect it to produce. And year-to-date, when you look at our revenue generators, we've brought in about 64 new revenue generators. At the same time, we're very consequential moving out those that aren't generating revenue. But what I see now is the opportunity to really accelerate because of how we're already positioned, not what we do -- not something we need to do to get positioned but how we're already positioned in the key southeastern growth market. So I think when you look at the opportunities that are out there as it pertains to capital, our first and foremost, is growing organically. And then after that, there's certainly especially where we're trading today, I wouldn't tell you that stock buybacks aren't off the table because relative to where we trade today and the value we're creating, the stock is cheap, in my opinion. And then also, we've got the dividend. We increased the dividend before. So I don't see a whole lot of changes there. And then the preverbal M&A question, it would take a lot to distract us. It'd have to be something very, very special because right now, we're firing on all cylinders and so to distract us from something like that as well positioned as we are on a go-forward basis. I think we will remain focused as we have been for the last 5.5 years on organic growth.
Stephen Kendall Scouten: Great. And maybe just one follow-up to that question is on the new hire activity, I mean that seems to be the going trend at an accelerating pace. I mean, if you like, relative to 5 years ago, 6 years ago, everyone now is talking about team lift-outs or new hires versus maybe M&A in the past. How do you differentiate yourself? And how do you convince people to come to Ameris versus XYZ bank that might also be trying to bring that banker?
H. Palmer Proctor: Yes. I think what salespeople on our model is we're focused on market share, not just having a pin on a map. So when you look at the density we have in a lot of our key growth markets, what bankers like is a presence and a commitment to a market, which we certainly make in everyone that we're in. They also like to see that we've got some stability in those markets. They'd like to see that we've got an organic engine that can grow. And in today's world, they like an environment that's not as volatile in terms of the work environment that they're in. Our plans are very clear in terms -- especially for the revenue generators on the core banking side, it's very heavy on the deposit side focus relative to a lot of peer plans. And so they come in with clear expectations. For those expectations also allow them to understand that they need to deliver. And if they deliver, they're well compensated for it. If they don't, we try to do what we can to coach them up. But I think it all comes down to accountability here. But I think to be able to work for a company that's been around for 50 years, it's got a clear business model. There's not any noise out there, and you can go ahead and focus on what you need to focus on and not get distracted by a lot of changes. That's probably the biggest selling point we have in today's market.
Stephen Kendall Scouten: Congrats on a fantastic quarter.
Operator: Our next question will come from Catherine Mealor with KBW.
Catherine Fitzhugh Summerson Mealor: Maybe talk about the margin and maybe the size of the balance sheet, maybe just to circle back first on the balance sheet side. I noticed that you added some securities this quarter. And so curious, you've talked about mid-single-digit growth in loans, and that was still great to see this quarter better than I had expected. But in terms of the bond book, do you expect to continue to build that through the back half of the year? Or as loan growth improves, does that kind of pare back a little bit?
Nicole S. Stokes: Catherine, we like the optionality that we have there. And this is kind of what I would call the tail end of that strategy of going back and not getting into the bond book and having the AOCI issue several years ago. So we still -- historically, we would be about 9% of earning assets pre pandemic would be in our bond portfolio. So we could still add about another $200 million to the portfolio to get there. We could add another $400 million to get to about 10%. So we like that optionality we have there that we have both the loan book that we can grow and the bond book. So I would definitely say that we could do go either place. What we do have also in the for the rest of the year, we have about $71 million that's going to mature out, and that's coming out at a 3.50% rate. And what we're putting on right now is coming in much higher than that, almost 4.75%, 5%. So as we're circling that out, we like doing that in the bond book. And if we have some opportunities to put some 4.75%, 5% bonds in there with a good duration, we'll capitalize on that opportunity when we see it.
Catherine Fitzhugh Summerson Mealor: Great. Super helpful. And then maybe then to circling back to the margin. You had another margin beat and you're guiding for that to be, I think you said normalized above the 3.60%, 3.65% range just because of deposit costs. So I guess I'm just kind of curious your view on deposit costs, maybe how we think about that in stable rate environment. So maybe in the third quarter if we don't see rate cuts this quarter, it seems like you still think that will increase a little bit this quarter and then how you're thinking about deposit costs as we start to see cuts?
Nicole S. Stokes: Yes. So assuming the Fed stays flat and we don't see any cuts. I just feel like there's going to be some pressure on that deposit cost. Everybody is talking about the loan growth in the second half of the year. So I think as we start to see that loan growth demand pick up, we're going to see just as much demand because everybody is going to be competing on the deposit side. So when you look at the second quarter, we brought in our interest-bearing came in at 2.99% kind of spot production for the quarter, and that's compared to a book of 2.83%. So we already see that new production coming on a little bit higher than the current mix. And I just think that, that's going to get more aggressive and more pressure as we see the loan growth demand come in. And then assuming that the Fed did cut we think that we would be just as aggressive as we have been in the past on reducing those. So if the Fed were to cut, I think we could maybe see a little bit of bump in the margin just from getting that head -- getting ahead of the curve there on the deposit side, knowing that the loan side would eventually catch up, but we could see a small little pop if the -- on the deposit side, if the Fed cuts.
Operator: Our next question will come from David Feaster with Raymond James.
David Pipkin Feaster: I just wanted to follow up maybe on the commentary on the growth side. It sounds like the increase in your origination activity that you saw this quarter is really more of a function of your bankers being increasingly productive and gaining share versus a real improvement in demand. Is that a fair characterization? And then I was hoping you could elaborate too on your commentary on the competitive landscape. Are there any segments or markets that are notably challenging and whether competition is primarily centered on pricing? Or have you seen competition shift towards more underwriting structure and standards too?
H. Palmer Proctor: Yes, I think it depends on the business line. I would tell you across the board, we're seeing more activity. And I don't know if it's -- I think it's more of a reflection of customers and prospects becoming more active. Our bankers have been out actively calling. So it's not like anybody who's sitting on the sidelines. I think people are just now moving forward with whatever initiatives they've got, especially in the middle market space. And along those same lines, with the middle market-type lending, the nice thing about our company is we've got the scale and the size to do what we need to do in terms of accommodating borrowing needs, treasury management needs. So we focus heavily, especially on treasury management, calling, that's been very helpful on our deposit growth. But I would tell you, there is a lot of competition out there, and it's starting to go beyond pricing now. There is some structural changes that are -- we're starting to see out there with people getting aggressive. Nothing crazy, but it is different. And so I think that's a sign just that more people are needing that growth, wanting that growth. And fortunately, hopefully, it will continue to come as we look out and look at the pipelines that we see. And if you break ours down by vertical, clearly, the Equipment Finance and the premium finance, mortgage warehouse has done well, retail mortgage volume just due to rates has been a little bit subdued but if we see some rate improvement towards the end of the year there or next year, that's certainly something that we can ramp up very quickly and capitalize on. I think the most encouraging thing for us, though, is the continued growth we're seeing in, our focus on deposits and leading with deposits instead of just leading with loans and pricing. So I would kind of give it an overall a more positive outlook for going into third quarter than what we had seen, obviously, in the first quarter. Does that answer your question?
David Pipkin Feaster: Yes. No, that's super helpful. And then maybe, Nicole, as you talk about that 3.60% to 3.65% margin guide, is that purely a function of higher marginal funding costs to support the growth or does that incorporate any Fed cuts in that? And just kind of how do you think about the time line of hitting that range? Is that kind of a step change that you would expect here in the third or fourth quarter? Just kind of curious some of your thoughts on that.
Nicole S. Stokes: Yes. So that assumes no rate cuts. That kind of is a flat environment. And like I said, if the Fed did cut, we could actually see a little bit of a bump because we feel like we would be aggressive on the deposit repricing side. And then eventually, the loans would catch up to it. That 3.60%, 3.65% guide is over the longer term. So I don't think that's a sudden drop in the third or fourth quarter. I think that's just a longer-term margin guide looking out 18 months or so to say that we feel like there's going to be some deposit pressure as we see the loan growth come back, and there's going to be, again, that competitive pressure. So I think we're going to see some pressure on the deposit side paying up. We might see a little bit on the loan side as well as people get competitive for that. So I just -- I think that we're going to get it squeezed a little bit and that we're in a spot to compete with a margin as strong as we have if we give up a little bit for the growth. We continue to focus on the growth in net interest income and then the growth in earning assets.
David Pipkin Feaster: And then maybe just last one, just touching on the mortgage segment. Nice to see the seasonal increase still primarily purchase-driven. Just kind of curious, maybe some of the underlying trends you're seeing there. How -- and how your capacity is today? I know you've made a lot of efficiency improvements but how is your capacity today if we do get a refi wave as rates potentially decline, we've seen what that can -- how quickly that can move? And then just any thoughts on the gain on sale side as we look forward?
Nicole S. Stokes: Sure. So for mortgage, I would say that the third quarter, I would see it being consistent with the second quarter, maybe down a little bit, just some of the trends that we're seeing. But when I say a little bit, 5%, 10% down on production, we've seen the gain on sale pick up from that 2.17% to the 2.22% I think kind of we've seen that kind of hold. I mean we're only 3 weeks in. But assuming that, that kind of holds in that 2.15% to 2.25% range. And then as far -- so I think well, third quarter will be consistent with second quarter. As far as what we could do if we saw a refi boom, our team is ready to go. We don't need to add people and we've got the resources that if a refi boom were to happen, rates come down and we see that opportunity, our folks are ready to go with it.
H. Palmer Proctor: And David, as we've said, the nice thing about mortgage, when you look at the profitability of it as it stands today relative to peers, it's really the phenomenal how well they've done. And this is kind of a baseline. So any improvement we get in rates from here would just be icing on the cake.
Operator: Our next question will come from Russell Gunther with Stephens.
Russell Elliott Teasdale Gunther: I had a margin follow-up question to start, please. Nicole, it would be helpful to get a sense for the cadence of the NIM over the course of the quarter from that kind of 3.69% March start to where we ended up at 3.77% and if possible, any commentary on where the June NIM shook out?
Nicole S. Stokes: Yes. So the margin was kind of growing throughout the quarter. It was just a steady growth month-over-month. And then for the month of June, there were some anomalies. So I hate to get this number out because it was higher than the 3.77%, but there were some anomalies in that margin. So kind of bring me back to saying kind of that flat 3.77% margin maybe a few basis points up or down in the third quarter, but eventually, over the long term, being willing to give up a little bit of our margin to get the growth.
Russell Elliott Teasdale Gunther: Okay. That's very helpful. I appreciate the color. And then switching gears back to sort of the loan growth side. You guys mentioned strength in Equipment Finance. It would be helpful to get a sense for kind of where those related loan balances are this quarter versus last, similarly on the charge-off front? And then just what's your related balance sheet growth versus gain on sale expectations are there?
H. Palmer Proctor: On Balboa, we ended at about $1.5 billion -- or sorry, Equipment Finance, about 7.2% of our loans. The charge-offs overall for the company which Equipment Finance has contributed to -- once we retooled their credit box in 2023, it's performed as we expected. And for the last rolling 4 quarters, we now have that in the target range that we were seeking for Equipment Finance for those charge offs.
Russell Elliott Teasdale Gunther: Okay. Got it. And then just last one for me. Great expense results, both this quarter and on a year-over-year basis, efficiency ratio lower on both those data points. On the call it would be helpful to just get a sense for how you're thinking 3Q looks from a noninterest expense perspective.
Nicole S. Stokes: Yes. I think 3Q, when you think about what the bump in second quarter compared to first quarter was really related to that increased production and mortgage. And so if we see that production come in consistent those expenses should be consistent. And then we also have the merit increases that we go into effect April 1 for us. So we had a full quarter of merit increases. So I see the third quarter being consistent with the second quarter. I think consensus has it bumping up just a little bit. And I think that kind of makes sense. That's reasonable to me. So I would say somewhere in that $156 million to $158 million, which is right kind of where consensus is and consistent with the second quarter.
Operator: Our next question will come from Christopher Marinac with Janney Montgomery Scott.
Christopher William Marinac: Nicole and Palmer, I wanted to dig into the deposits. I think it's Slide 11 in terms of just the numbers of accounts as well as sort of the average. What's the right way to think about that over time, not just quarter-to-quarter but thinking of it from last year and the prior year, you've been giving us this data for a while.
Nicole S. Stokes: Yes. No, we have been very consistent. I think that's one of the things that we probably don't brag on ourselves enough about is our very, very granular deposit base and that -- you don't get this kind of deposit base overnight. So this is a 50-year history franchise of growing our deposits. And when you look back at our deposits, we did a kind of back look of how many have been since the Fidelity acquisition, how many were came in from Fidelity and then how many prior to that. And we have a really, really strong core deposit base that have been here for a long, long time. Even through our acquisitions, those have -- they've had a long history, and we've been able to retain those deposits. So I think this is very, very consistent, the very granular deposit base that we've had. This is not a new thing.
Christopher William Marinac: Great. And do you think that the pace of deposits will look different in the next couple of quarters? I know part of the margin guide kind of implies that. So I'm just trying to think about if we should see an acceleration in the next few quarters?
Nicole S. Stokes: We continue to look and lead with deposits. And I'm so proud of our bankers for that, that we don't just have loan officers, we have bankers and then they're asking for the deposits and growing deposits. So I think the big question there for us is we know that we can grow deposits, but it's at what rate can we grow deposits. And then really, we've been so focused on the noninterest-bearing and to have 31% of our franchise in noninterest-bearing. The question is, can 31% of our growth to be in noninterest-bearing. So while we continue to focus on that growth in noninterest-bearing, the percentage to the total may change a little bit. And then obviously, coming in kind of the end of the third quarter into the fourth quarter, we have all those cyclical municipal funds that flow back in. So that always kind of makes us look a little bloated on deposits at the end of the year. But again, we remain focused on growing deposits. And we have some runway with FHLB advances, our brokered CDs, their brokered CDs are only 5% of our funding. But we've really focused on those, growing those core deposits and that's definitely the goal is to continue to grow that. Hence, why my guidance is that we are willing to maybe pay up for that growth if we need to.
Christopher William Marinac: And then I had a question on the reserve. Just curious on if there's any qualitative changes to some of the factors behind the scenes this quarter or some of those possibilities as drivers of your reserve in the next several quarters?
H. Palmer Proctor: Yes, Chris, we did have a little bit of a key factor as it relates to investor office. And the office slide. We now have that reserve at about 3.8% for that sector now.
Christopher William Marinac: And then in general, given just the low level of charge-offs and overall low level criticized, does that give you flexibility to simply grow into the reserve? Or do you think of it any differently?
H. Palmer Proctor: No, we do. I mean having a robust reserve, which we do at the 1.62%, we consider that among top of class amongst our peer and you look at it through 2 different lenses. One, the offensive strategy and that we grow into it, which is what we want to do. But if you turn into a credit cycle, it's there as a defensive position as well.
Operator: Our next question will come from Manuel Navas with D.A. Davidson.
Manuel Antonio Navas: Getting back to that kind of long-term NIM range of 3.60% to 3.65%, you're going to sit above it for some time. What could bring that range higher? Is this just like a steeper yield curve, success on deposits? Just kind of some of the drivers there.
Nicole S. Stokes: I'll go with all of the above. So yes, I think that success on the deposit side would absolutely drive it higher if the Fed cuts and we are able to reduce the deposit side as we typically would or historically would. That would give us a little margin comp. And then also right now, all of our growth is margin accretive right now. When you look at the second quarter, what our loan coming on rate loan production rate versus our deposit production rate, all of our growth is margin accretive. But I'll tell you for this quarter, if you look at our loan rate of [ 6.76% ] kind of all-in production and our interest-bearing deposits were at 2.99%. So that's right out of 3.77%. So what really is going to drive that is that growth in noninterest-bearing deposits. So if we get the growth in noninterest-bearing deposits that brings down our total production of deposits, that's really what could also kind of helped the margin there. But we are still proud to say that our growth is margin accretive at this point.
Manuel Antonio Navas: I was going to ask you about loan yields. I appreciate that kind of description of the marginal NIM. How are noninterest-bearing pipelines right now? I know they're lumpy, it's hard to project, but just kind of some thoughts on that side of the deposit base?
H. Palmer Proctor: Yes. I would tell you that they're accelerating. It's very similar. It kind of mirrors our loan production. And a lot of that, as I mentioned earlier, is attributed to our treasury management efforts. In addition, obviously, just the bankers. But we're seeing more and more opportunities. And leading with deposits has really been helpful in our approach there. And I think that's really what's driving the opportunities that we're seeing as of recent. So I would tell you that we're encouraged by what we're seeing as we move into the second half of the year.
Manuel Antonio Navas: Right. I appreciate that. The securities yield increase -- was there like a onetime adjustment in securities? Or is that just you're adding those higher-yielding securities this quarter?
Nicole S. Stokes: That is adding our securities. So during the quarter, we bought about $200 million that came on at $488 million, and we matured out about $260 million that was at $277 million.
Operator: This will conclude our question-and-answer session. I would like to turn the conference back over to Palmer Proctor for any closing remarks.
H. Palmer Proctor: Great. Thank you, Wyatt. I want to thank all of our teammates for another outstanding quarter. We remain focused on producing top- of-class results, growing our tangible book value per share and maintaining our strong core deposit base. We are very well positioned to take advantage of future growth opportunities in our attractive Southeastern markets, and we certainly appreciate your interest in Ameris Bank.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.